Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Quantum-Si's Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to turn the conference over to Doug Farrell from Quantum-Si. Doug, please go ahead.
Doug Farrell: Good afternoon, everyone, and thank you for joining us. Earlier today, Quantum-Si released financial results for the second quarter ended June 30, 2024. A copy of the press release is available on the company's website. Joining me today are Jeff Hawkins, President and Chief Executive Officer; as well as Jeff Keyes, our Chief Financial Officer. Before we begin, I would like to remind you that management will be making certain forward-looking statements within the meaning of the federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward Looking Statements of our press release. For a more complete list and description of risk factors, please see the company's filings made with the Securities and Exchange Commission. This conference call contains time-sensitive information that is accurate only as of the live broadcast date, today, August 7, 2024. Except as required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements. During this call, we will also be referring to certain financial measures that are not prepared in accordance with US Generally Accepted Accounting Principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is included in the press release filed earlier today. Additionally, I'd like to remind everyone that we will be participating in the Canaccord Healthcare Conference in Boston next week, and we look forward to seeing many of you there. With that, let me turn the call over to Jeff Hawkins.
Jeff Hawkins: Good afternoon, and thank you for joining us. On today's call, we will provide a business update, present our second quarter 2024 financial results, and provide an outlook for the remainder of 2024. Then we will open the line for questions. Before reviewing our quarterly results, I would like to welcome Chuck Kummeth to our Board of Directors. Chuck recently joined QSI as our Independent Chairman of the Board. Many of you probably know Chuck already. He's an industry veteran with more than 35 years of leadership experience in Life Sciences. Most recently, Chuck was President and CEO of Bio-Techne, where he led strategic initiatives that drove a 300% increase in their annual revenue to more than $1 billion. Prior to that, Chuck was President of both the Mass Spectrometry and Lab Consumables division of Thermo Fisher Scientific. We are excited to have Chuck on the Board, and we look forward to benefiting from his counsel over the coming years. At Quantum-Si, we are committed to bringing the power of next-generation protein sequencing to labs around the world. We believe that we have the industry-leading technology in Platinum, and that our first mover advantage positions us well to capture a leading share of a $20 billion research market in proteomics. Next-generation protein sequencing has the potential to create large, new market opportunities in much the same way that next generation DNA sequencing transformed life science research. We believe Platinum will help to accelerate proteomic research and enable the discovery of new biomarkers that will ultimately pave the way for the development of new therapies and diagnostic tests. Now, I would like to provide an update on our corporate priorities for 2024. As a reminder, we have three corporate priorities for 2024, First, accelerate commercial adoption. Second, deliver on our innovation roadmap. And third, preserve financial strength. Our first corporate priority is to accelerate commercial adoption. Q2 marked the first full quarter of Platinum sales since exiting our controlled launch at the end of the first quarter. While we are pleased with the results delivered in the second quarter, we are confident that there are opportunities to significantly improve sales execution and accelerate adoption of our technology globally to expansion of both our direct commercial team and distribution partner network. Customer interest in our uniquely differentiated next-generation protein sequencing technology remains strong. Our sales funnel continues to grow, and we are seeing increasing global interest in our solution. During the second half of the year, we will continue to extend our commercial reach to a combination of adding direct sales professionals and new distribution partners. At the end of the second quarter, our direct commercial team, which includes sales, marketing, service and support personnel, total about 30 individuals based in the United States and Western Europe. As part of that growth, we have recently added key senior sales leadership roles in both the United States and Western Europe. We exited the quarter with several open territories across the United States and Western Europe, and we are working aggressively to get these positions filled and to get newly hired resources trained quickly to be effective at selling our products. From a sales execution standpoint, we are continuously evaluating and optimizing our go-to-market approach. Based on recent learnings, we are implementing improvements to our sales training and sales process to drive more effective targeting and management of the highest value opportunities. We are making solid progress on both initiatives, but we still have work to do. In addition to our direct sales team, we are optimistic about the opportunity to expand global access to our technology through our distribution partner network. In the second quarter, we gained our first customer through this network, giving us confidence that we can successfully enable our partners to sell Platinum. With this partner enablement playbook in hand, we expect to grow the distribution partner network throughout the remainder of 2024 to allow us time to train the new partners and ensure they are operating effectively and independently in preparation for 2025. During the second quarter, we participated in several major scientific conferences where we were able to showcase the Platinum system and generate commercial leads. At the American Society for Mass Spectrometry meeting in June, Dr. Gloria Sheynkman from the University of Virginia presented the results of the work she completed using Platinum. Dr. Sheynkman demonstrated that her team was able to detect isoform-specific peptides that differentiate disease-relevant proteoforms, a type of analysis that their mass spec system is not able to do. In another presentation from ASMS, team members from Dr. Neil Kelleher's lab at Northwestern University integrated next-generation protein sequencing with mass spec to help distinguish native and artifactual proteoforms. The team identified a disease-relevant post-translational modification thought to contribute to the pathology of Alzheimer's disease. Lastly, at the European Society of Human Genetics meeting, Dr. Brian Reed, Head of Research at Quantum-Si, discussed the expanding role of next generation protein sequencing, which enabled direct interrogation of the primary structure of proteins, as well as post-translational modifications which are likely to play an important role in disease progression and personalizing therapies. We expect that the research results presented by Dr. Sheynkman and Dr. Kelleher will be submitted for publication by the end of the year. From a market segment perspective, our customer base today is made up of primarily academic research labs. But we are continuing to see traction in large pharma and biotech, which will be important for driving long-term market growth. These customers often have multiple locations, as well as multiple projects running in parallel, so their consumable utilization is higher than the typical academic research lab. On our last earnings call, we discussed that we were observing growing interest in protein barcoding applications. As a reminder, for customers who need to characterize large numbers of proteins, protein barcodes can be used to streamline screening and selection of proteins with specific characteristics. One exciting application of peptide barcodes is for multiplex screening of the delivery and expression of therapeutic proteins in vivo. It is an area of high interest in drug development, but is extremely challenging and expensive to do today and, in many instances, not feasible to do using existing technologies like mass spec. We are excited to report that one of our biotech customers has recently demonstrated the power of Platinum to address this problem. They designed protein constructs with small, highly sequenceable peptide barcodes that have minimal impact on the biological function of the target. Using these barcodes, they performed an in vivo screen of a library of mRNAs in a mouse model and generated successful results. We believe their work demonstrates the power of Platinum to address a complex problem in drug development with minimal proteomics expertise required and have a fraction of the cost compared to existing technologies. Finally, from a macro market perspective, capital spending remains cautious and sales cycles are longer than historical averages in many cases. That said, we are confident that our technology is uniquely differentiated in the market, and with an $85,000 price point, we believe Platinum offers significant value to customers. Based upon this value proposition, we expect to be able to continue to drive consistent quarter-over-quarter growth in adoption going forward. Our second priority is to deliver on our innovation roadmap. We are continuing to drive enhancements across our instrumentation, chemistry, and software. Our R&D team continues to execute exceptionally well and we are seeing results of that effort. As a reminder, in February, we delivered Version 2 of our sequencing kit. And in April, we followed that up with a new version of Platinum Analysis Software that incorporates advancements in artificial intelligence. Today, we are pleased to announce that we are releasing our Version 3 sequencing kit. The Version 3 kit is the next evolution in our overall sequencing chemistry roadmap. The Version 3 kit includes a new recognizer to further expand amino acid coverage and increase the overall sequencing output per sample. With this new kit, our customers will be able to sequence an ever expanding number of proteins, see more peptides per protein, and see more amino acids per peptide. As part of this new kit release, we are also releasing an updated version of the Platinum Analysis Software. Leveraging the artificial intelligence tools incorporated as part of the April software release, we now have a database of predicted kinetic signatures that contains over 4.5 million parameters, more than double the number of parameters in the database as part of the April software release. This expanded database will further improve the amino acid coverage, post-translational modification detection, and the overall accuracy and output our customers see with each sequencing run. From a sequencing metrics perspective, the Version 3 kit delivers a more than 1.5-fold increase in output per sample and lowers the customer cost per amino acid by more than 1.5-fold over the Version 2 kit. While those performance improvements are impressive, they do not tell the full story. Compared to our Version 1 kit, the Version 3 sequencing kit provides customers with a more than 5.5-fold increase in output and a more than 4.5-fold reduction in cost per amino acid. This improvement has been achieved in just one year and demonstrates that the new R&D organization and technology roadmap we put in place in August of 2023 is a success. Beyond the Version 3 kit launch, our innovation pipeline remains robust. And we are pleased to share that we expect to release 2 new products by the end of the year. The first new product will be a Version 2 of our library prep kit. Our goal with this kit is to continue to increase the compatibility of our technology with an increasing number of proteins, sample types, and applications. The second new product is being designed to specifically address barcoding applications. As discussed earlier in this call, we are seeing increasing interest in protein barcoding from customers across multiple market segments. To further accelerate their work, we are developing a library prep kit specific to barcoding that we expect will provide customers a significant reduction in sample prep time prior to sequencing, while also improving the sensitivity and dynamic range of the application. In addition to our pipeline of innovations across library prep, sequencing chemistry, and software, we are continuing to make solid progress on our instrumentation innovation roadmap. We have some exciting developments in this area that are currently progressing through our technology development process, and we look forward to sharing more details about this area at an Investor Day that we are planning for later in the year. Our third priority is to preserve financial strength. We remain laser-focused on fiscal discipline. Now that we are halfway through the year, we can see a steady improvement in our operating results. We have meaningfully reduced our overall operating expenses over the prior year, while continuing to invest in innovation and accelerating the pace of our commercialization efforts. Jeff will provide more details, but we are pleased with our progress, and we remain committed to efficient use of our capital. We are confident that we are striking the appropriate balance of fiscal discipline and investing in innovation and the commercial ramp up of Platinum. Delivering these two goals remains a top priority that will be the foundation of our growth for years to come. I'll now turn the call over to Jeff Keyes to review our financial results.
Jeff Keyes: Thanks, Jeff. Now let's discuss the details of our financial results for the second quarter. Revenue in the second quarter of 2024 was $622,000, which consisted of revenue from our Platinum instrument, consumable kits, and related services. Gross profit was $354,000, and gross margin was 57%. As a reminder, our gross margin percentage will be somewhat variable for the near future as we work through our initial stages of commercialization, and will also be impacted by the timing and mix of instruments versus consumable sales. Our margin will also be impacted in the near term by acquisition costs and any accounting adjustments to underlying inventory that predates the commercial launch of Platinum. While we have not provided gross margin guidance for 2024, I can tell you that our gross margin for the second quarter of 2024 includes approximately a 9% benefit for inventory utilized in the second quarter that was carried at low or no value and dates back prior to the initial commercialization. We do expect to see more variances that will flow through our gross margin as we move forward, and I will point them out if they are material. GAAP total operating expenses for the second quarter were $26.8 million compared to $27.0 million in Q2 of 2023, while adjusted operating expenses were $24.4 million for the second quarter of 2024 compared to $24.0 million for Q2 of 2023. The year-over-year reduction in operating expense is a result of several initiatives we began in 2023 to maximize our capital efficiency. Overall, R&D spend was $1.5 million lower than the prior year, offset by investment in commercial operations. Year-to-date, our total operating expenses were $50.4 million compared to $56.3 million in the prior year, a decrease of more than 10%. The progress on capital efficiency is even more significant on a year-to-date basis, where R&D expenses were down $7.5 million and overall operating expenses down $5.9 million after investment in commercial operations. Net loss for the second quarter of 2024 was $23.1 million compared to $25.6 million in Q2 of 2023, a decrease of $2.5 million or about 10%. The decrease in net loss was primarily related to the operating expense reduction, partially offset by changes in dividend income and unrealized gains on marketable securities. Adjusted EBITDA for the second quarter of 2024 was negative $22.6 million as compared to negative $22.9 million in the second quarter of 2023. In late 2023, we made some structural changes to our mix of investment holdings to maximize yield while minimizing risk. These changes, along with the impact of rate increases, produced dividend and interest income of $2.9 million in the second quarter of 2024 compared to $2.5 million in Q2 of 2023, an increase of about 15%. As of June 30, 2024, we had $218.1 million in cash and cash equivalents and investments in marketable securities. Turning to guidance. We reiterated our 2024 outlook, which includes a revenue range between $3.7 million and $4.2 million, adjusted operating expenses of less than $103 million, and net cash usage less than $100 million. Finally, we still expect our existing cash and cash equivalents and investments in marketable securities will provide runway into 2026. Now, I'll turn the call over to the operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Swayampakula Ramakanth of HCW. Your line is now open.
Swayampakula Ramakanth: Thank you. Good afternoon, Jeff and Jeff, this is RK from H.C. Wainwright. So, looking at the -- as you said, the first quarter of sales of commercialization with Platinum, it certainly seems like a good start. And by keeping the guidance where it was from prior quarter, so you're kind of telegraphing for a decent run rate in the second half of this year. So, can you just talk to us some of the pushes and pulls on the second half, and also what gives you the confidence of the sort of sales that you need to recognize in the second half?
Jeff Keyes: Yes. Thanks for that question, RK. Let me start out and then if Jeff wants to add a little bit, he can. The first thing I'd say is, the first half of the year was in line with our expectation. So, as we thought about the guidance we put together, the sort of what we expected to see in that Q1 where it was the controlled launch followed by the first quarter here, Q2, a full commercial launch, we had talked about that being a modest increase from Q1 to Q2. So the trends and the results sort of match what we expected in terms of when we went about setting the guidance. As we think about the setup for the second half, you asked about the pushes and the pulls. One component of that is what we talked about in the prepared remarks, which is, we have been scaling the team over the course of the first half of the year. So, if you remember back in Q1, we had about 24 people in our sort of customer-facing organization, our commercial team. That number is about 30 here in Q2. And as we look out over the remainder of the year, We have about another 10 sort of roles we're planning across the US and Western Europe that will add to our field-facing, sort of customer-facing organization. So, they will bring some level of additional performance above our existing team as they get onboarded and get trained and get live. I mean, the poll on that is obviously what we mentioned a little bit in our remarks and certainly others are talking about, which is just sort of the capital cycles and how fast they will go. I can tell you that, as we said in the remarks, the capital sales cycle has been a bit slower than maybe historically you would expect to see. But we haven't seen capital just disappearing. We've seen it more shift out by a quarter or shift out by a couple of months, not just sort of disappear in terms of its availability. So, I think that's the potential for sort of the poll. Given sort of all those remarks, I think the way I think about Q3 is, again, another modest step up from Q2, and then Q4 with those additional territories full and some of these other things in place that we talked about, some of the new kit launches coming. I think you'll see that additional acceleration then from Q3 into Q4.
Swayampakula Ramakanth: Fantastic. So, talking about the personnel itself, how much time do these folks need to settle in and actually convert a lead into a sale? I understand part of it is the capital cycle, but the other part is also trying to make the sale and complete the sale.
Jeff Hawkins: Sure. There can be quite -- there's quite a bit of a range that can happen there. RK, I would say, the general rule of thumb is that if you hire a brand-new person into a new territory right now, it's going to be about three to four months until they're fully trained out in the territory, sort of getting their arms around what existing leads might be there and how deep those are in the funnel to where they can sort of convert that into a sale. I think if you wanted to bracket that on the upper end, there can be cases where, instead of three to four, it could be as much as five or six months. And that has a lot to do with just how developed the territory is. So if we drop somebody, as an example, into a new region where portions of that region have previously been worked on by other sales professionals, that new person might see that three to four month ramp up. But if we place somebody into a net new country or net new region of the country, they may take closer to that six months before they're converting leads into sales because the leads in their territory just aren't as evolved, aren't as developed, and they've got to work through those qualifications with the customers, the capital dollars, et cetera.
Swayampakula Ramakanth: Then you talked a little bit about the various scientific presentations and the data. And I'm just trying to triangulate the presentations with the new kit coming in on sales, is there a way to triangulate that in terms of leads or anything that you're seeing?
Jeff Hawkins: Yeah. I'm not sure if there's a good way to triangulate it. The way I think about it is the following. So the data that's getting presented by customers, as we discussed a little bit on the call, is still a pretty broad range of applications, right, proteoforms, whether that be the isoform, peptides we talked about or PTMs continues to be an attractive area for customers -- an area of interest for customers, certainly in the academic research setting or translational setting. The barcoding, again, picking up momentum in the pharma and biotech space. So, the first thing that has to happen, as you know, RK, is that data has to get generated and presented at meetings. Additional studies get run that gets converted into full manuscripts that can be submitted for publication. So I think that's sort of the trajectory that we expect in that regard. What we're doing on kits is really just listening to the market and observing our performance and learning about other sample types or other applications people want to run and just continually improving upon sort of the range of applications we can perform. So library prep is really about just lifting, generally speaking, lifting the number of applications and types of samples and types of proteins a customer can work with. I think the barcoding kit is a great example of really now developing an application-specific kit. And what I mean by that is, the early data on barcoding, customers are using our existing library prep kit and developing barcodes in the context of that. And it works, and it works fine, but we believe there are ways to improve that that can really shorten that upfront library prep time specific to barcoding, and then improve the downstream performance. And this is really about optimizing now a kit to an application based on a deep understanding of specifically what that customer is trying to accomplish and what performance metrics will drive their utilization across more and more of their projects.
Swayampakula Ramakanth: Perfect. Thank you. Thanks for taking all my questions.
Jeff Hawkins: You’re welcome. Thank you.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn it back to Jeff Hawkins for closing remarks.
Jeff Hawkins: Thank you for attending today. We look forward to providing more updates next week at Canaccord as well as in our next earnings call coming up later in the year. Thank you for attending.
Operator: Thank you all for your participation today. You may now disconnect.